Operator: All sites on hold. We do appreciate your patience in holding and ask you to please continue to stand by. The conference should begin in approximately one more minute. Thanks again, everyone. Please standby. Your program is about to begin. Good morning, everyone, and welcome to today's PVH Corp. Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question and answer session. You may register to ask a question at any time by pressing the star and one key on your touch-tone phone. Please note this call may be recorded and that I will be standing by should you need any assistance. It is now my pleasure to turn the program over to Sheryl Freeman, Senior Vice President of Investor Relations. Please go ahead.
Sheryl Freeman: Thank you, operator. Good morning, everyone, and welcome to the PVH Corp. Fourth Quarter and Full Year 2024 Earnings Conference Call. Leading the call today will be Stefan Larsson, Chief Executive Officer, and Zac Coughlin, Chief Financial Officer. This webcast and conference call is being recorded on behalf of PVH Corp. and consists of copyrighted material. It may not be recorded, rebroadcast, or otherwise transmitted without PVH Corp.'s permission. Your participation constitutes your consent to having anything you say appear in any transcript or replay of this call. The information to be discussed includes forward-looking statements that reflect PVH Corp.'s view as of March 31, 2025, of future events and financial performance. These statements are subject to risks and uncertainties indicated in the company's SEC filings and the Safe Harbor statement included in the press release that is the subject of this call. These include PVH Corp.'s right to change its strategies, objectives, expectations, and intentions, and the company's ability to realize anticipated benefits and savings from divestitures, restructurings, and similar plans, such as the headcount cost reduction initiative announced in August 2022, the 2021 sale of assets of and exit from its Heritage Brands menswear and retail businesses, the November 2023 sale of the Heritage Brands women's intimate apparel business to focus on its Calvin Klein and Tommy Hilfiger businesses, and its current multiyear initiative to simplify its operating model. PVH Corp. does not undertake any obligation to update publicly any forward-looking statement, including, without limitation, any estimates regarding revenue or earnings. Generally, the financial information and projections to be discussed will be on a non-GAAP basis as defined under SEC rules. Reconciliations to GAAP amounts are included in PVH Corp.'s Fourth Quarter 2024 earnings release, which can be found on www.pvh.com and the company's current report on Form 8-K furnished to the SEC in connection with the release. At this time, I am pleased to turn the conference over to Stefan Larsson.
Stefan Larsson: Thank you, Sheryl. Good morning, everyone, and thank you for joining our call today. I want to start by thanking our teams around the world for delivering a strong fourth quarter and finish to the year. Through the strength of our two iconic global brands, Calvin Klein and Tommy Hilfiger, and the disciplined execution of our multiyear brand-building growth plan, the PVH+ plan, we over-delivered on both the top and bottom line versus our guidance. With stronger than expected revenue on a constant currency basis and higher than expected non-GAAP EPS. In addition, we increased our gross margin by 120 basis points to a new record, and even with the fixed cost deleveraging from our Europe business, we maintained our double-digit EBIT margins at 10% as we focused on driving cost efficiencies across the company. For the fourth quarter, we delivered a strong holiday performance that beat our expectations. On a constant currency basis, we drove low single-digit revenue growth with growth in both our D2C and wholesale channels, excluding the sale of our heritage business and the 53rd week in 2023, which supports our planned return to growth during 2025. 2024 marks a major step towards our vision to build Calvin and Tommy into the most desirable lifestyle brands in the world and make PVH Corp. one of the highest performing brand groups in our sector. We connected both Calvin and Tommy to the zeitgeist through our marketing, driving record consumer engagement. We improved the relevance and sell-through of our Fall '24 product assortment across both brands. We are turning Europe back to growth, with improved performance in both D2C and wholesale, where we drove two consecutive quarters of growth in our stores, as well as moving our European wholesale order books back to growth. Despite the tough macro, we kept Asia growing on a constant currency basis, on top of two consecutive years of double-digit constant currency growth. And we significantly increased our profitability in North America, including a double-digit EBIT margin rate for our combined Calvin and Tommy business in the region. We are working more closely than ever with our wholesale partners, and in January, we brought together more than 300 key partners for one of our largest ever global parking days to kick off Fall '25 market launch. Their feedback was very positive around the improved product, marketing, and marketplace execution, and we'll build on this momentum together in 2025. We stood up our global product kitchen for Calvin and created the strongest product assortment so far for Tommy, which launches this fall. And it was a big part of helping to return our European order books back to growth for 2025. We drove significant cost efficiencies while simplifying our organization and shifting our culture to become brand builders with a strong consumer focus. We put in place our technology roadmap, taking important steps to becoming a data and demand-driven company. We have a strong management team in place with experience and capabilities to bring our vision to life. For all this progress, there is no question that 2024 was a challenging environment, and I'm especially proud of our team for executing so well despite the macro issues at hand. Now let me share a bit more of what drove our performance in the fourth quarter and full year, both from a global brand and regional perspective. And then I'll move into how we will drive growth during 2025. Starting with Calvin Klein, we started 2024 with Calvin's explosive spring campaign featuring Jeremy Allen White, driving record visibility and engagement, which we continue to build on through the year. In the fourth quarter, we continued to tap into Calvin's iconic DNA to drive global brand heat, cutting through with mega talent, Kendall Jenner, Idris Elba, Minju, Alexander Skarsgard, and for Fall, Greta Lee and Jeremy Allen White, headline global campaigns for our iconic underwear and denim. And we elevated the brand in the marketplace, including an opening of a flagship store on the iconic Champs Elysees in Paris. These impactful moments resonated with consumers, driving strong engagement and growth in key product categories such as underwear, denim, outerwear, and knits. Turning to Tommy Hilfiger, Tommy had a very strong brand-building year and continued to tap into the culture conversation by leaning into its classic American cool DNA, amplified by global talent including Stray Kids, Sofia Richie Grainge, Damson Idris, Patrick Schwarzenegger, Lewis Hamilton, and George Russell, to name a few. Tommy cut through major cultural moments, from the Met Gala to Formula One, driving new levels of consumer engagement with a continued focus on themes, fashion, art, music, entertainment, and sports. We started the year with a return to New York Fashion Week, built on that momentum with our Staten Island Ferry runway show in the fall, and we ended the year with a capsule collection starring global brand ambassador, Jisoo, followed by the launch of our denim-focused Spring '25 campaign with Damson and supermodel, Abby Champion. Turning to our regional performance, starting with North America, the team continued to lean into the next level execution of the PVH+ plan, driving a double-digit EBIT margin each quarter, a significant step change in trajectory. Our Calvin and Tommy businesses together delivered EBIT dollars up 40% to an 11.9% EBIT margin for the year, up more than 350 basis points year over year on flat revenues, demonstrating the progress we are making in building the foundation for long-term brand accretive growth in the region. In the fourth quarter, Tommy and Calvin together achieved low single-digit revenue growth on a reported basis and mid-single-digit growth excluding the 53rd week, and again delivered significant improvement in profitability, to 12.1%. For both Calvin and Tommy, we drove double-digit growth in our full product collection in D2C. We also had strong growth in e-commerce, with higher traffic, higher average order value, and higher conversion, supported by the investments we made to elevate the online shopping experience. And for both brands, we continue to partner closely based on elevated product assortments, better floor space, and improved in-stock rates to drive outperformance. Turning to our international business, Europe was a strong proof point of our improved next-level PVH+ plan execution for both the fourth quarter and the full year. For 2024, in the face of a tougher macro, we made the proactive decision to drive higher quality of sales to build our brands for the long term and position us for sustainable brand accretive growth in the region. Now one year later, I feel very good about how we delivered, having solidified the very strong brand position we have in Europe, built for high-quality growth with our key partners. From our quality of sales actions, which had a planned 5% negative impact, 2024 sales in the region declined mid-single digits, which was better than what we had initially projected. And importantly, we delivered it with higher gross margins. In the fourth quarter, excluding the 53rd week comparison, overall revenue was flat in euros, which included a 3% impact from our qualitative sales actions. For the second consecutive quarter, we drove growth in our retail stores, reflecting our enhanced in-store experience. Building on the significant product improvements over the past year, we continue to drive higher sell-through trends from our successful full-season product supported by stronger core product inventory. This combined with quality of sales directly translated into stronger business with our key partners, leading to the sequentially improved wholesale order books. Moving to Asia Pacific, our team's disciplined PVH+ plan execution across both Calvin and Tommy drove growth for the quarter and the full year in constant currency. For the year, the region delivered low single-digit revenue growth in constant currency, including 3% growth in the fourth quarter, excluding the 53rd week last year. Growth was led by China, which increased 3% in constant currency, excluding the 53rd week, benefiting from an earlier Lunar New Year from both a calendar and an overall shopping behavior perspective. And we grew in Japan and Korea. The region's ability to ignite and amplify global talent continues to be a key growth driver. Through powerful brand ambassadors including Minju for Calvin, and Jisoo for Tommy, we captured key local consumer moments through activations that continuously fuel the brand heat in the region. Now let's switch gears and turn to our overall outlook for 2025. For all the progress of 2024, we're starting 2025 with some obvious headwinds. Our industry is facing uncertainty around the US consumer demand, and with macro pressures in mind, we have already taken proactive cost and efficiency actions to reflect the current environment. In addition, as you know, PVH Corp. has been added to MFCOM's unreliable entity list, which is unprecedented for a global consumer company. We remain fully committed to serving our Chinese consumers, as we have for the last twenty years, and we are investing in our growth in China for the long term. We continue to engage with MFCOM and we work towards a positive resolution. Our team is, of course, fully focused on responding to the moment, while at the same time not losing sight of our longer-term commitments. We have two of the most globally iconic and beloved brands, and from the eye of the consumer, both have the right to play as part of the most desirable brands in the market, and through the PVH+ plan, that's where we are taking them. As we look at the 2025 outlook for Calvin Klein, we kicked off the year with a historic return to runway at New York Fashion Week, which dominated the conversation. Calvin Klein himself, for the first time in twenty years, sat front row, alongside with his original muses, Kate Moss and Christy Turlington, who wore custom Calvin Klein collection, and global talent who joined us wore shoppable Fall and Spring stars. We are excited for creative director Veronica Leoni's Fall '25 collection to come to life this year in our flagship stores, and at select premium wholesale partners such as Parvinicos, Mytheresa, Fronton, Browns, and at the border. We have leaned into Calvin's product strength as the number one men's premium underwear brand globally and took one of our biggest and best-selling product franchises, the cotton stretch underwear, and brought unprecedented innovation in it, building it into the new Icon cotton stretch, with an industry-leading infinity waistband and improved fit and fabric. We launched this product innovation in our biggest category globally, in D2C and in close collaboration with our key wholesale partners, together with multi-platinum recording artist, Bad Bunny, one of the most popular artists of our time. And in the first forty-eight hours, we reached over twenty-nine million users on Calvin's Instagram page alone and added nearly one hundred thousand followers within the first week of launch, bringing our brand and our iconic underwear to the consumer with unprecedented excitement and newness and with direct commercial impact. In 2025, you'll also see Calvin relaunch its women's sportswear business at U.S. Wholesale, following the take back of this license from G3. We kicked this off tapping into the zeitgeist with a campaign featuring actress Lily Collins that will span the full marketing funnel. We continue to make important progress to align Calvin Klein to one global brand vision to win in all markets. Spring '25 was the first season where we centralized Calvin's global product capabilities, bringing product creation across Europe, Asia, and North America to our team in New York. This was a significant undertaking given the highly fragmented and decentralized legacy model we had before. As we brought this first season to life, the team had to work through a number of complexities, including centralizing disparate systems and processes that existed around the world. This initial transition took longer than we expected and led to extended product development timelines, constrained sourcing and shipping options, and pressured production costs for the season, which we decided not to pass on to partners or the consumer. As soon as we experienced these challenges, we took action. And going forward, we now have a simplified and improved go-to-market process in place with a standard global buy approach, and we are upgrading our technology capabilities to support it. While the compounding effect of these factors created a temporary margin headwind that will be most pronounced in the first half of this year, importantly, we see the improvements already for the Fall '25 season, and we'll be fully through this transition for the Spring '26 product season that we are working on right now. Even though the work to set up Calvin's engine for global product creation initially was tougher than expected, it was absolutely the right thing to do, and we can already see the strength and benefits coming out of it. And finally, we will continue to elevate the Calvin brand in the marketplace, and we are excited for this year's launch of our SOHO flagship store here in New York, as well as other store enhancements and key openings as we expand our owned and operated footprint of Calvin around the world. For Tommy in 2025, the brand continues to generate strong consumer relevance, launching its Spring 2025 campaigns featuring Sofia Richie Grainge, global K-pop sensation Stray Kids, and brand ambassador Patrick Schwarzenegger, who wore Tommy to the highly anticipated global premiere of the White Lotus in Bangkok. Together with Sofia, we also launched Sofia for Tommy, a women's capsule collection that introduces a new elevated brand expression designed to create the halo for our women's mainline. This campaign drove strong engagement among our core demographic and new consumers, through a full-funnel storytelling approach. It's also been very well received by our key partners globally. Tommy is also preparing a very special appearance at the Met Gala, and this summer, we'll play an exciting role in the highly anticipated F1 movie, starring Tommy Hilfiger brand ambassador, Damson Idris, alongside Brad Pitt. The film, where Tommy is a key partner, brings the adrenaline-fueled world of Formula One to the big screen. Finally, to amplify our summer lifestyle shop in both D2C and with our wholesale partners, Tommy gathered key talent from around the world at a Hilfiger resort-themed event in the Caribbean. This event will be captured as a campaign launching in May across our talent's own channels, our brand channels, on tommy.com, and with our partners. The organic social media impact from this event has already pre-launched, generating one hundred and sixty million impressions with high engagement rates. Turning to our regions, in Europe, as I mentioned earlier, following our successful quality of sales initiative, we have driven two consecutive quarters of growth in our stores, and I'm so pleased to share that our Fall '25 order books have returned to growth. Our Spring '25 order book finalized down low single digits as we expected, an important sequential improvement from Fall '24, and our Fall '25 order book took another big step forward and is now up low single digits, with growth across both Tommy and Calvin. This return to growth for Fall '25 is a testament to the strong execution from our global and regional teams to improve the overall assortment and drive higher quality of sales across the marketplace. In 2025, we build on this momentum. In product, you will see us further strengthening key product categories, infusing more innovation and elevation of our hero products, and together with even stronger product segmentation between channels. Our strong seasonal campaigns would cut through the full marketing funnel, led by aspirational talent, amplified by mid-funnel product storytelling, and cut through all the way into our wholesale doors and our elevated D2C execution in stores and online. In North America this year, we expect to continue to drive a double-digit EBIT margin through our PVH+ execution, further unlocking our business across channels. Just like in Europe, our key business drivers in the region will come from continued improvements in product, marketing, and the marketplace execution. And Asia will continue to be a growth engine for us long term. We have a diversified business across the region, where we will continue to build strength this year. As we look at the year ahead, like others in our industry, we are navigating global macro volatility, particularly in North America. Following a strong holiday in January, in February, retail traffic trends took a step down, a dynamic affecting the entire sector. And despite this lower traffic, we're driving higher conversion, a reflection of our execution improvements in the region. Also, starting in February, we began to face incrementally tougher headwinds in China, including a post-New Year holiday slowdown that led to a step down in revenue. The trend has since stabilized at these new lower levels. Importantly, we remain fully committed to serving our Chinese consumers and partners for the long term. Turning to our licensing business, across both Calvin and Tommy, we have a large and diversified global licensing business, which is a key competitive advantage. Our licensing partners help bring our vision to life across multiple lifestyle categories, from watches and fragrances to eyewear, and are important to how we drive sustainable profitable growth. Before I give you an update on the multiyear transition away from G3, I would like to share some important context on our licensing business overall. Eighty percent of PVH Corp.'s licensing revenues this year are from strong long-term brand-building partnerships, where we have full alignment on where we are taking the brands, and where our partners bring unique expertise. A concrete example of this includes how we work with Coty, where Coty's CEO, Sue Nabi, and I have engaged both our teams on something big that's in the works for Calvin Klein fragrance in 2026. There are many more examples like this, and these go-forward licensing partnerships will drive high-quality growth for 2025 and for many years to come. When it comes to the G3 transition, the overall contribution to our total global licensing business is relatively small, at only twenty percent of our expected licensing revenues for 2025. This is following the takeback of the North America women's sportswear categories for the wholesale channel, which represented approximately twenty percent of the G3 business previously. While still early, our new product is driving significant increase in AURs with consumers describing it as fresh, modern, and elevated. And we are looking forward to building long-term sustainable growth of our women's business in North America wholesale, just as we already do in the rest of the world. Shifting to our guidance, building on the momentum of 2024 and the benefits arising from our ongoing disciplined execution of our PVH+ plan, we are positive on our prospects for 2025, while recognizing the challenges of the moment. We expect revenue to be flat to up slightly on both the reported and constant currency basis. We expect EBIT margins to also be flat to up slightly, with a stronger second half of the year having the benefit of both the strength in the European order books as well as more of our structural cost efficiencies having full impact. We will also make meaningful increases in our capital return to shareholders, with accelerated stock buybacks in 2025. These actions will help us take advantage of the current valuations while accelerating our EPS growth even in a weaker macro backdrop. And in 2025, we will be well positioned to deliver another year of record non-GAAP EPS. In conclusion, our vision and our long-term commitment are to build Calvin Klein and Tommy Hilfiger into the most desirable lifestyle brands in the world and make PVH Corp. one of the highest performing brand groups in our sector. This is the heart of the PVH+ plan. 2024 was a year of significant progress in both brands across all regions. In 2025, it's all about executing at pace, trending on this momentum, and I'm so proud of our teams and partners, and we are full steam ahead. And with that, I'll turn the call over to Zac.
Zac Coughlin: Thanks, Stefan, and good morning. My comments are based on non-GAAP results and are reconciled in our press release. As Stefan discussed, we are pleased with our fourth quarter and full year financial results, driven by the strength of our two iconic global brands and disciplined execution of the PVH+ plan. For the fourth quarter, revenue and EPS came in slightly ahead of guidance, with operating margin in line with expectations. Importantly, the start of the year for both revenue and profit. We achieved a record high 59.4% gross margin this year and delivered record high non-GAAP earnings per share of $11.74, up 10% versus 2023 and exceeding our initial start of year guidance range of $10.75 to $11, and we delivered this in spite of an increasingly challenging consumer backdrop in China and North America that began around midyear. In North America, for Calvin Klein and Tommy Hilfiger combined, we delivered an increase in EBIT of over 40% and drove over 350 basis points of operating margin expansion. In Europe, we ended the year with two consecutive quarters of DTC store revenue growth and confirmed positive Fall '25 order books. In Asia Pacific, we delivered yet another year of revenue growth in constant currency in our most profitable region, on top of two consecutive years of double-digit constant currency growth. And across the world, made significant progress in the next phase of Growth Driver 5 of the PVH+ plan, to simplify our operating model and drive SG&A efficiencies. Additionally, we delivered strong cash flow again this year with free cash flow of nearly $600 million, enabling us to return $500 million to shareholders during the year through the repurchase of 4.7 million shares of common stock. I will now discuss our 2024 results in more detail and then move on to our outlook for 2025. Revenue for the fourth quarter was down 2% on a constant currency basis, including a 3% decline due to the 53rd week in 2023 and a 1% decline due to the sale of the Heritage Intimates business. Excluding these impacts, revenue on a constant currency basis was up 2%, with growth in both DTC and wholesale, an important milestone in our plan to return to growth during 2025. On a reported basis, revenue through the quarter was down 5%. From a regional perspective, fourth quarter revenue for our international businesses was down 3% on a constant currency basis, including a 3% decline from the 53rd week in 2023. Excluding the impact of the 53rd week, our Asia Pacific business was up 3% on a constant currency basis, benefiting from the earlier Lunar New Year as well as growth in Japan and Korea. Sales for our Asia Pacific business were down 4% on a reported basis and down 1% in constant currency. In our European business, sales in euros were flat compared to last year, excluding the impact of the 53rd week. Low single-digit growth in our retail stores offset a planned decrease in wholesale. Sales for our European business were down 7% on a reported basis and down 4% in euros. In North America, excluding the impact of the 53rd week, revenue for our Tommy Hilfiger and Calvin Klein businesses combined increased 4% versus last year, reflecting the wholesale timing shift from the third quarter into the fourth quarter that I discussed last quarter. DTC was flat compared to last year excluding the 53rd week. On a reported basis, revenue was up 1%. From an overall PVH channel perspective, I'll first talk about our DTC revenue excluding the 4% negative impact from the 53rd week in 2023. Overall, direct-to-consumer revenue was up 2% on a constant currency basis and better than we communicated at the start of the quarter, primarily driven by the strong holiday season. Sales in our retail stores were up 3% on a constant currency basis. And in our owned and operated e-commerce business, sales were down 4% on a constant currency basis as strong growth in North America was more than offset by our planned strategic reduction of sales in Europe to drive overall higher quality of sales in the region. Including the impact of the 53rd week, DTC sales overall were down 5% on a reported basis and down 2% in constant currency. Within wholesale, we remain focused on strong quality of sales and winning with our key wholesale partners. Total wholesale revenue was down 2% on a constant currency basis, including a 2% decline from the sale of the Heritage Intimates business. The benefit from the shift in timing of wholesale shipments in North America was largely offset by the planned reduction in Europe. On a reported basis, wholesale revenue was down 5% versus last year. Turning to our global brands, Calvin Klein revenues were up 1% on a constant currency basis and down 2% on a reported basis, including a benefit from the shift in timing of North America wholesale shipments. Tommy Hilfiger revenues were down 3% on a constant currency basis and down 5% on a reported basis, with Tommy more impacted by our quality of sales initiative in Europe in 2024. In the fourth quarter, we delivered a gross margin of 58.2%, down 210 basis points compared to a record high in 4Q last year. The decrease was driven by three main factors: a moderately more promotional environment than last year, particularly in North America, an increase in freight cost primarily due to Red Sea disruptions and increased premium freights, and the mix of wholesale shipments in North America, which negatively impacted our gross margin in the quarter but did not impact our overall profitability. Inventory at quarter-end was up 6% compared to 2023 due to an investment in best-selling core product categories and overly lean inventory levels last year. As discussed last quarter, we chose to strategically increase inventory in our most essential products to support our goal of having these timeless items in stock at a target of 95% of the time. Importantly, the vast majority of inventory is current season and core. SG&A expense as a percent of revenue was 47.9%, a 30 basis point improvement versus last year. Our growth driver five cost savings actions drove a nearly 100 basis point improvement, which more than offset the impact from the deleverage of expenses due to the 53rd week in 2023. EBIT for the quarter was $244 million, operating margin was 10.3%, earnings per share was $3.27, and our tax rate for the quarter was 21.4%. For the full year, revenue was down 6% on a reported and down 5% in constant currency, including a 2% decline due to the sale of the Heritage Intimates business and a 1% decline due to the 53rd week in 2023. EBIT margin was 10% and in line with last year, with record high gross margin offsetting the impact from the deleveraging of expenses on lower sales. And we delivered record high non-GAAP earnings per share of $11.74. And now moving on to our outlook. In 2025, we will build on the progress we made in 2024 with a continued focus on driving double-digit operating margins in North America, returning to growth and growing profitability in Europe, and building on the strong growth over the last three years in Asia Pacific. At the same time, remain cautious as we face new external headwinds that have emerged beginning in early February. First, softness in the consumer backdrop in North America, where following a strong holiday season, retail traffic across the industry took a significant step backwards. And second, a noticeable decline in revenue in China. Both of these factors partially stabilized in March but at levels below 2024, a trend we are forecasting will continue through the rest of 2025. Additionally, as Stefan discussed, Calvin Klein product delays are expected to result in temporary margin headwinds, particularly in the first half of the year. As we lean into those specific headwinds, we remain laser-focused on driving disciplined execution of the PVH+ plan. We expect to build on our financial performance as the year progresses, driving sequential improvements in our European order books and increasing SG&A efficiencies quarter by quarter through our Growth Driver 5 actions, while improving margins in our Calvin Klein business as we work through that transition. In the first quarter, we are projecting revenue to be flat to down 2% on a reported basis and flat to down 1% on a constant currency basis compared to 2024. In Europe, our investment in quality of sales last year continues to pay off as we expect revenue to be higher than last year by mid-single digits in euros, with growth in DTC and wholesale. In North America, we're planning revenue to be approximately flat to last year with growth in wholesale offset by lower DTC sales. And in Asia Pacific, we expect revenue to be lower by low double digits due to a combination of an early Lunar New Year this year and headwinds in China. We are projecting first quarter gross margin to decline, driven by an increase in freight costs and incremental discounts due to the Calvin Klein product delays, and the gross margin differential as we transition the first significant categories in North America wholesale from a licensed to an in-house wholesale business model. Additionally, our mix of wholesale revenue is higher in the first quarter than last year, which has a negative impact on gross margin but not on our overall profitability. We expect gross margin compared to last year to improve as we are making steady progress to stabilize Calvin Klein product delays, and we expect our channel mix to normalize throughout the year. We are actively working to mitigate these impacts through disciplined cost management and expect SG&A expenses as a percentage of revenue in the first quarter to decrease approximately 100 basis points. In total, we are projecting our first quarter operating margin to be approximately 8% to 8.5%, down 150 to 200 basis points compared to last year. First quarter earnings per share is projected to be $2.10 to $2.25 compared to $2.45 in the prior year. Our tax rate for the first quarter is estimated at approximately 18%, and interest expense is projected to be approximately $20 million. And now moving to the full year. Overall, revenue is projected to be flat to up slightly on both a reported and constant currency basis compared to 2024. We expect our full year operating margin will be flat to up slightly compared to 10% in 2024 and are projecting another record high non-GAAP earnings per share in the range of $12.40 to $12.75, up 9% at the top end. Our improved EPS outlook reflects a significant benefit from our share repurchases in 2024 and $500 million in planned share repurchases in 2025. We are excited to announce we will deliver these repurchases by entering an accelerated share repurchase program in April. From a regional perspective, Europe is planned to return to growth with revenue of low single digits in euros and across both DTC and wholesale with sequential improvement in order books, including confirmed growth in Fall 2025. In the Americas, we are planning revenue up mid-single digits versus 2024 with low teens growth in wholesale, powered by the first significant women's wholesale transition to in-house, partially offset by a low single-digit decline in DTC due to the softness in the consumer backdrop we discussed earlier. In Asia Pacific, due to the headwinds in China that I mentioned earlier, we are cautiously planning Asia Pacific revenue down mid-single digits in constant currency. China's plan is down low double digits, but we are still planning low single-digit growth in the rest of the region. And in our important licensing business, as Stefan mentioned earlier, we expect to deliver high-quality growth in the 80% of our business outside of our relationship with G3. Gross margin for the year is expected to be down approximately 100 basis points compared to 2024, of which approximately half is due to the impact of the G3 transition in North America from license to wholesale, and the rest largely explained by the temporary impacts from centralizing the Calvin Klein Global Product Kitchen. We expect that Calvin Klein product delays to primarily impact first-half gross margins, leading to lower gross margins in the first half and improving gross margins in the second half. We expect SG&A expense to be lower in 2025 compared to 2024, resulting in a decrease of approximately 100 basis points as a percentage of revenue. Phase of Growth Driver 5 of the PVH+ plan to drive efficiencies and improve our ways of working. We've laid the groundwork for these initiatives, and we expect to drive significant cost savings in 2025 on top of the reductions we already realized in 2024, with savings showing up more powerfully as we progress through the year. To highlight a couple of these actions, in North America, we continue to make good progress streamlining our logistics, including consolidating into two warehouses and in-housing our e-commerce distribution. This work will increase our US warehouse capacity utilization a little above 50% to approximately 85% to 90% and significantly decrease North America distribution expenses. In IT, in the last sixty days, we have signed contracts with some of the world's largest and most innovative technology companies that will enable consolidation of our historically decentralized and fragmented technology stack into a single platform of global systems and deliver tens of millions of dollars of annual savings once implemented. These are important examples of the actions in Growth Driver 5 of the PVH+ plan. As we shared previously, we expect the total of our Growth Driver 5 actions to deliver 200 to 300 basis points of operating margin expansion over time. As a result of this work, we expect our full year operating margin will be flat to up slightly compared to 10% in 2024. Operating margins will be lower than last year early in the year, we'll see sequential improvements each quarter throughout 2025 based on the actions that are well underway. And we expect to exit 2025 and enter 2026 with significantly higher operating margins than 2024. Interest expense is projected to increase to approximately $85 million compared to $67 million in 2024, to fund the accelerated share repurchase agreements. And our tax rate for 2025 is estimated at approximately 22%, in line with our long-term commitment of low 20s percent. We have one other important change to announce. With the appointment of Frederic Olson as CEO EMEA, the promotion of Donald Koehler to CEO for all of the Americas, we now have our leadership team and operating model firmly in place to drive the PVH+ plan forward. As a result of that, beginning in 2025, we'll be evolving our reported segments to be one, Americas, two, Europe, the Middle East, and Africa, three, Asia Pacific, and four, a new standalone licensing segment. Additionally, we'll be providing revenue data for each of the Calvin Klein and Tommy Hilfiger brands. Beyond aligning to our interim operating model, we also believe this will provide increased transparency to the dimensions of the business most relevant to understanding our financial performance. We plan to share recast quarterly and annual segment data for 2023 and 2024 on a Form 8-K with our first quarter earnings release. Before we open up for questions, I want to echo Stefan's sentiments earlier, thanking our associates all around the world for leaning into the PVH+ plan and delivering our annual financial commitments in 2024 in spite of a choppy environment. Looking forward, continue to work relentlessly to drive results in all aspects of our global business. While we remain agile to new developments, we've a clear plan in place to deliver continuous sequential improvement throughout the year. Our goals are set, the team is focused, and through the PVH+ plan, we are making progress to deliver on all of our commitments to our customers, associates, and shareholders. And with that operator, we would like to open it up to questions.
Operator: We'll take our first question from Jay Sole with UBS. Please go ahead.
Jay Sole: Great. Thank you so much. My question is about Europe. Stefan, can you talk about what you've learned from the quality of sales initiative? And how does the PVH+ plan elevate the level of execution that you've shown? How is that really impacting the business? Can you give us a little bit more color on that too? Thank you.
Stefan Larsson: Absolutely. Good morning, Jay, and thank you for your question. It's a story of progress and how we connect PVH+ to high-quality growth, to drive sustainable high-quality growth. So if we go back to how we started 2024, we saw a tougher consumer backdrop in Europe. And we took three very focused quality of sales actions. We stopped third-party sales of our brands on digital platforms. We reduced the number of digital platforms we sold to. We improved inventory in relation to sales overall. So those were the three actions we took. And then in parallel, we leaned into the PVH+ execution in strengthening product relevance, the consumer engagement, our marketing, the marketplace execution across both Tommy and Calvin. And you can really see the effect of the three quality of sales actions with the improvements of the PVH+ execution next level in Tommy and Calvin. You can see that indeed to see Q3 and Q4 coming back to high-quality growth. So high-quality growth, stronger gross margin indeed to see, and then you see season by season how we strengthen forward-looking wholesale order books. And really excited and feeling great job by the team to then translate that into growth for Fall '25, low single-digit growth. And this is our team in Europe doing a great job in connecting, putting more and more relevance and strength into the brands. Really strong market team execution, and really close partnership with our partners. So also connecting back to how we started 2025, and I mentioned in my prepared remarks how we pulled together 300 global most important partners, many of them from Europe, and I was able to engage with many of them one-on-one and really seeing and hearing that they see the progress as well and that that translates into growth.
Zac Coughlin: Yeah. Jay, just to put some financials behind that, as Stefan mentioned, we expect to return to growth. And importantly, we expect Europe profitability in euros to also grow by low double-digit percentage year. So it really does flow through the full P&L.
Jay Sole: Got it. Sounds great. Thank you so much.
Operator: Thank you. Our next question comes from Michael Binetti with Evercore ISI. Please go ahead.
Michael Binetti: Thank you for taking my question, and Stefan, it's really nice to see the Europe order books turn positive. I know we talked a lot through that journey. I know it took a lot of work. Very, very nice to see that. You guys worked hard on it. A bit more of a financial question, I guess, for me. Zac, as you look at the, you gave us a big basket of margin drivers here, a fairly complicated year. As you look out past this year, how should we think about the multiyear, the 2026 margin profile? You have SG&A savings coming in, it sounds like, mostly in the back half of the year. I think the run rate was 200 to 300 basis points annualized. About 50 basis points of CK disruption from product this year. Is there any reason that doesn't just mechanically come back in 2026? And then also, so it seems like there's a good basket of margin drivers as you look past this year into 2026. Are there any new headwinds that come online next year that we should be thinking about or any even tailwinds that I didn't mention here yet?
Stefan Larsson: Alright. First, thank you, Michael, for the call out on Europe. Credit goes to the teams and our partners. Great job by them. Coming back to your question now on the value drivers. So let me just start from a business perspective, and then Zac will take you through more in detail. We have big positive value drivers in the second half that are not dependent on a change in the trajectory of the consumer for 2025. So the first is European order books that are coming back to growth in Fall '25. The second is that a big part of our cost efficiency work that we have been on now for a while is taking full hold in the back half. And then you see the Calvin Klein margin, as Zac mentioned, improving already in the back half. So you'll see us exit the year at a leaner, more profitable company. And then to the ASR Accelerators share repurchase, you will see that we do that with a smaller share count. So what this means is that we'll come into 2026, and we're already working and planning for 2026 to come into 2026 with a step up in profit levels. And then through the PVH+ execution, we keep building on that.
Zac Coughlin: Yeah. Thank you, Stefan. I think what's most important, Stefan, I said, is the actions that we're planning throughout the year as we progress from the first quarter to the fourth quarter are really built on things in our control. Stefan laid out what those pieces are. And so that work is either already confirmed for things like the European order books or well underway around much of the cost action, which is really probably the most powerful driver of improvement from the start of the year. So we expect fourth quarter operating margin to be much higher than 2024. And that's really the new starting point as we enter 2026 because the building blocks of stuff I laid out are really foundation building that raise the water level that we would then move forward into 2026 from there.
Michael Binetti: Okay. Thanks a lot, guys. Appreciate your help.
Operator: We'll next go to Dana Telsey with Telsey Group. Please go ahead.
Dana Telsey: Hi. Good morning, everyone, and nice to see the progress. Congratulations. As you think about the connection, Stefan, between product and engagement, there's a lot going on in each brand. As you think of the timing of it, how do you think of it rolling out this year? How do you think of the different global regions? And what does marketing spend look like to drive this engagement? Thank you.
Stefan Larsson: Yeah. Thank you, Dana. And you know we have been very focused on a systematic and repeatable approach to bring product strength, consumer engagement, marketing strength, and then translating that to impact with the partners and our consumers. But sometimes it's better to describe this with concrete examples. So what you see right now in Calvin Klein with our underwear cut-through underwear campaign with Bad Bunny is really putting these pieces together. So what you will see season, every season going forward, you will see a cut-through campaign from Calvin Klein and a cut-through campaign from Tommy Hilfiger. So going back to the underwear Calvin Klein Bad Bunny, what we're doing there is we're leaning into our key growth categories and the most important category for Calvin Klein underwear. We're putting a lot of we're leaning into the most important hero product, the cotton stretch, and we are putting a lot of innovation into that hero product, creating a new hero product with the most innovation in the industry. And then we build that into a cut-through campaign and we collaborate with somebody like Bad Bunny, who is one of the most streamed artists, one of the most popular acclaimed artists right now. And then you see unlocking the growth category, innovation in the hero product, the talent amplification from Bad Bunny, and then you see it in the impact in the doors and stores. Yes, you see it in the social media impact of reaching almost thirty million on Calvin's Instagram page. The number of views, tens of millions of views within the first few days on the Bad Bunny video, but then you see that translating into traffic and stores and e-commerce sales on the Icon cotton stretch in many of our channels was up 20% to our previous cotton stretch products. So that's an example for Calvin Klein. On Tommy, you see the Tommy season by season bringing the Tommy lifestyle of classic American cool made current come to life. So Tommy and the team just came back from the Caribbean having invited a number of really important talents, partners to the brand, Patrick Schwarzenegger with the White Lotus Connection, Madelyn Cline, Abby Champion, to a Hilfiger resort-themed event, and this will support our summer campaign in our wholesale doors, in our stores, and it launches in May, but it covers the whole summer period. But already prelaunch, we have one hundred and sixty million euros as I mentioned. Social media posts just from the talent posting while they were part of creating this event. So what you will see going forward is season by season, you will see cut-through campaign by cut-through campaign connecting the improved product strength with the improved marketing, with the improved partner and in-store execution. And then we'll be relentless in just keep improving.
Dana Telsey: And then the marketing spend?
Stefan Larsson: The marketing spend, we continue to invest in growth, and marketing is one of the top priorities there.
Dana Telsey: Thank you.
Stefan Larsson: Thanks, Dana.
Operator: Thank you. Our next question will go to Brooke Roach with Goldman Sachs. Please go ahead.
Brooke Roach: Good morning, and thank you for taking my question. I was hoping you could elaborate on your relationship with your wholesale partners in North America as you execute the PVH+ plan. What are your conversations trending like today? And what's your outlook for growing in your core and with the business that was just brought back from G3? Thank you.
Stefan Larsson: Yes. So thanks, Brooke. So very strong partnerships with our key wholesale partners in North America and across the world. But specifically in North America, what the team is doing a really good job on is focusing in on each of the brands and driving product strength, product relevance, in optimized spaces with the right marketing support. So Calvin Klein has a great milestone with Macy's this morning. Herald Square for those of you who are in New York today, Macy's flagship, all the windows are taken over by Calvin Klein and the launch of Calvin Klein women's. And marketing support by Lily Collins resonated really well with the Macy's consumer. And you see early first couple of weeks, we are having the collection, putting the shops together. But that's what you will see from us, that consistency in driving product relevance, brand relevance, differentiation, to that North America wholesale consumer. So very excited about seeing the progress season after season.
Brooke Roach: Great. Thanks so much.
Operator: We'll next go to Matthew Boss with JPMorgan. Please go ahead.
Matthew Boss: Great. Thanks. So Stefan, could you elaborate on the recent change you've seen in North America just how you're planning inventory across DTC at both Calvin and Tommy over the course of the year. And then, Zac, if you could just walk through drivers of first quarter gross margin, the decline, and just the cadence of gross margin beyond the first quarter to consider.
Stefan Larsson: Yeah. Thanks, Matt. So let me start by the North American backdrop. And as we mentioned, we and looks like most everyone in the sector saw a step back from the consumer in February. So there is clearly a challenged backdrop. We saw March slightly improving, stabilizing trends, but as Easter is three weeks later this year than last year, Easter is an important consumer moment in North America. We have to look at March and April together. But our outlook is reflecting the current trends that we see. And then our focus is to be fully on what we can control driving strength in the product, the marketing, the marketplace, etcetera. On the inventory side, we feel really good about our inventory levels and especially the composition inventory we have right now, it's more fresh and less aged than the same time last year. So stock freshness is really important to us as we become more data and demand-driven. Then we have better investments coming into 2025 in core essentials hero products. One example of that is the Icon Cotton Stretch, new hero product with the Bad Bunny cut-through campaign. Then we have inventory backing up transition from G3 on the women's sportswear. So all in all, feeling really good about that.
Zac Coughlin: Yep. And, hi, Matt. For gross margin for the first quarter for the year, we're indicated down around 250 basis points. If you got the drivers that's impacted us in the fourth quarter, you've got an increased promotional environment, especially in the US. Got increased freight costs, and obviously, we've got some wholesale mix that's driving gross margin that doesn't have any impact on profitability. Think then as we come into the first quarter, the only new item in there is really the intake of the G3 women's sportswear. That has around a 50 basis point negative margin and gross margin as we move from a licensing business model into a wholesale business model. So by the full year, we're expecting to be down around 100 basis points. That's around 50 basis points tied to the G3 intake we just talked about, and the rest really the impacts of some of the CK product delays, which will primarily the first half. So we think about that steady progression from that down to 250 landing to a full year 100, you know, the wholesale mix will normalize. We'll work on the freight impacts, so that begins to normalize. We end the year with a number much closer to something really related tied to just the G3 business model transition.
Operator: We'll next go to our last question with John Kernan with TD Cowen. Please go ahead.
Krista Zuber: Good morning. It's Krista Zuber on for John. Thank you for taking our questions. Just one follow-up on the inventory. You've made such tremendous inroads in cleaning up the channels. You know, the focus on the discipline, SKU planning, and the rationalization. How should we think about, you know, given some of the product puts and takes that are happening this year with the transition from the license, how should we think about the opportunity to accelerate your inventory turns given, you know, two years of what now appears to be sort of a stabilization in your turns? Thank you.
Stefan Larsson: Thanks, Krista. It's the way we think about it and the way we work with inventory is to season by season, get better in the planning and the buying of the assortment, better with planning and buying of the inventory connecting to that assortment. So better and better optimized inventory to demand. And then we'll continue to learn. But long term, the goal is to continue to optimize inventory to demand. And then sometimes we learn when we go too lean and then we have to take a step back in specific areas of the assortment like they're never out of stock. Or a new product launch. But long term, you'll see that we'll continue to become more data and demand-driven and step by step, better and better optimize inventory to demand. Okay. Given that that was the last question, just want to thank you for being on this journey with us. We are in the middle of unlocking the full potential of Calvin Klein and Tommy Hilfiger, two of the most globally iconic and beloved brands. And 2024 was a year of significant progress in both brands. Or regions. 2025 you'll see us leaning into the next level execution at pace and building on the execution momentum of 2024. And I'm really very proud of our team's work, our partners, and we are full steam ahead. So looking forward to connecting again a quarter from now. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude today's program. Thank you for your participation. You may disconnect.